Operator: Welcome to HF Sinclair Corporations First Quarter 2025 Conference Call and Webcast. Hosting the call today is Tim Go, Chief Executive Officer of HF Sinclair. He is joined by Atanas Atanasov, Chief Financial Officer, Steve Ledbetter, EVP of Commercial, Valerie Pompa, EVP of Operations and Matt Joyce, SVP of Lubricants and Specialties. [Operator Instructions]. It is now my pleasure to turn the floor over to Craig Biery, Vice President Investor Relations. Craig, you may begin.
Craig Biery: Thank you, Kate. Good morning everyone, and welcome to HF Sinclair Corporation's first quarter 2025 earnings call. This morning, we issued a press release announcing results for the quarter ending March 31 2025, if you would like a copy of the earnings press release, you may find it on our website, at HS sinclair.com Before we proceed with remarks, please note the safe harbor disclosure statement in today's press release. In summary, it says statements made regarding management expectations, judgments or predictions are forward looking statements. These statements are intended to be covered under the safe harbor provisions of federal security laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings. The call also may include discussion of non-GAAP measures, please see the earnings press release for reconciliations to gap financial measures. Also, please note any time sensitive information provided on today's call, they long may no longer be accurate at the time of any webcast replay or rereading of the transcript. And with that, I'll turn the call over to Tim.
Tim Go : Good morning everyone for the first quarter, we delivered strong results in our marketing midstream and lubricants and specialties businesses, and saw encouraging sequential improvement in refining. I am proud of our employees and their ability to navigate the extreme volatility and uncertainty around tariffs, producers, tax credits and other market headwinds, we remain focused on the things in our control, such as commercial and operational excellence, turnaround, execution and capital discipline. Now let me cover our segment highlights. In refining for the first quarter, we delivered sequential quarter improvements in capture and operating expenses despite a tough economic environment across the period, we began the plan turnaround work in our Tulsa turn around at our Tulsa refinery, which was completed on schedule and on budget and is now operating at Planned rates in renewables. For the first quarter, we focused on lowering total operating expenses and optimizing low CI feed stocks to help mitigate the economic impact surrounding the uncertainty of the producers tax credit at this time, we have not taken any credit for PTC in our financials. We estimate that we would have been close to breakeven after the quarter, with the inclusion of PTC, our marketing segment delivered a record quarter of $27 million in EBITDA, and achieved our highest quarterly adjusted gross margin of 12 cents per gallon. We also grew our branded supplied stores by a net of 37 sites, and have a backlog of over 170 additional supplied branded sites signed and targeted to bring online by year end, in lubricants and specialties, we reported another strong quarter of $85 million in EBITDA, supported by our product mix optimization efforts focused on sales of high margin specialty and finished products. We are in the process of completing the plan turn around work at our Mississauga facility, and expect to be back to planned operations within the week in our midstream business, we delivered a record quarter, generating $119 million in adjusted EBITDA as we benefited from higher pipeline revenues in the period today, we announced our board of directors declared a regular quarterly dividend of 50 cents per share, payable on June 3. 2025 the holders of record on May 15. 2025 looking forward. We are encouraged by the recent strength of Mercy margins as we head into the summer driving season and are focused on the execution of our strategic priorities to capture value across all of our business segments. With that, let me turn the call over to Ata.
Atanas Atanasov : Thank you, Tim and good morning everyone. Let's begin by reviewing HF Sinclair's financial highlights, today, we reported first quarter net loss attributable to HF Sinclair shareholders of $4 million or negative $0.02 per diluted share. These results reflect special items that collectively decrease net loss by $46 million. Excluding these items, adjusted net loss for the first quarter was $50 million, or negative $0.27 cents for diluted share, compared to adjusted net income of $142 million, or $0.71 cents for diluted share for the same period in 2024 adjusted EBITDA for the first quarter was $201 million, compared to $399 million in the first quarter of 2024 in our refining segment, first quarter adjusted EBITDA was negative $48 million compared to $209 million in the first quarter of 2024 this decrease was principally driven by lower adjusted refinery gross margins in both the West and Midcon regions, and lower refined product sales, volumes, who they are charged, averaged 606,000 barrels per day for the first quarter compared to 605,000 barrels per day for the first quarter of 2024 in our renewable segments, we reported adjusted EBITDA of negative $17 million for the first quarter compared to negative $18 million for the first quarter of 2024 our first quarter 2025 results were impacted by lower sales volumes and the absence of benefits from the producers tax credit. Total sales volumes were 44 million gallons for the first quarter of 2025 compared to 61 million gallons for the first quarter of 2024 our marketing segment reported EBITDA $27 million for the first quarter compared to $15 million for the first quarter of 2024 this increase was primarily driven by improved execution of our business and high grading the portfolio in the first quarter of 2025 our lubricants and specialty segment reported EBITDA of $85 million for the first quarter compared to EBITDA of $87 million for the first quarter of 2024 our midstream segment reported adjusted EBITDA of $119 million in the first quarter compared to $110 million in the first quarter of last year. This increase was primarily driven by higher pipeline revenues in the first quarter of 2025. Nit Cash used for operations totaled $89 million in the first quarter, which included $105 million of turnaround spent. HF Sinclair's capital expenditure totaled $86 million for the first quarter of 2025, as of March 31 2025, HF Sinclair's cash balance was $547 million. As of March 31 we have $2.7 billion of debt outstanding with a debt to cap ratio of 23% and net debt to cap ratio of 18% during the quarter, we executed a successful refinancing transaction. HF Sinclair issued an aggregate principal amount of 1.4 billion of senior notes consisting of 650 million of 5.75% senior notes due 2031, and 750 million of six and a quarter senior notes due 2035. We use net proceeds from the notes to repay all 350 million in outstanding borrowings under the AGP credit facility and to fund approximately 850 million in tenders and redemptions of our 2026, senior notes and 150 million in tenders of our 2020 our 2027 senior notes. This extended our debt maturity profile while lowering our weighted average interest expense. On April 3, 2025 we entered into a new $2 billion HF Sinclair credit facility and terminated the existing HF Sinclair and hep credit facilities as of April 30, 2025 our new five year credit facility was undrawn. Let's go through some guidance items with respect to capital spending for full year 2025 we still expect to spend approximately 775 million in sustaining capital, including turnaround and catalysts. This is down 25 million from 2024 and includes a non-refining, lubricants and specialties, turnaround in the first quarter of 2025 in the first half of 2025 In addition, we. Expect to spend 100 million in growth capital investments across our business segments on the second quarter of 2025 we expect to run between 606 130,000 barrels per day of crude oil in our refining segment, which reflects the ongoing plan turnaround at our Tulsa refinery and the plan turn around at our parka refinery during the period, we're now ready to take some questions from the audience, and I'll turn it over to the operator.
Operator: [Operator Instructions]. Our first question is coming from Manav Gupta with UBS.
Manav Gupta: Good morning, guys. Very strong result considering the macro. I actually just wanted to start on the midstream side. I think you moved some assets from the midstream hep into refining, and yet what we are seeing is like probably one of the strongest midstream quarters that you have delivered close to almost one 20 million in EBITDA. So help us understand what's driving the growth in the midstream business, and your outlook for continue to grow this business as we move ahead.
Steve Ledbetter: Hey, Manav, this is Steve. We're very excited about the midstream business, and we think that it's really not fully optimized yet. What drove the performance in q1 was predominantly increased and focused on our products and crude pipelines and the revenue generation from our tariff situation there. We believe that this is both an opportunity to grow the integrated value as well as a third party situation. So it's a focus area, and helps us, what we like to say, unlock the integrated value chain between refining midstream and marketing moving forward.
Tim Go: This is Tim. I would just chime in and say, you know, we've said all along that we believed that bringing in the hep business, completely into our portfolio, was the right thing to do. It was going to break down, you know, some internal hurdles, and allow us to optimize the business. And as Steve and his team are doing, they're finding those opportunities, and that's showing up in the bottom line.
Manav Gupta: Perfect. My quick follow up is lube also very resilient. Help us understand the volatility in this business. Looks like its earnings are lot more stable than the refining. So in the near term, given what we're seeing in the macro, your confidence level of earnings in your lube business. And again, I think you had identified and said, you know, we're looking to grow this business also. So if you could help us understand that also,
Matt Joyce: Sure. Manav, hey, it's Matt Joyce here. You know, Manav, we've talked about it on the past several we continue to execute our strategy really well, we're doubling down on our growth in the US. We have selected end uses that we believe have higher growth rates, businesses that tend to depend on us and where we have great solutions that can win. You know, we were we're out performing the markets and mining, good grade lubricants, thermal management, pharmaceutical and personal care, just to kind of give you a sense of those high value markets. Those have the ability to weather a lot of these storms and to be continuous and consistent performing markets, and we'll go through those to be a steady performance on the loop side, we also enjoyed a really good mix of products. This past quarter, we had a little bit lower base oil sales. So you saw that forward integration strategy that we've talked about getting more of our base oils placed in finished in specialty applications. You're seeing that pay dividends here in these results.
Tim Go: Yeah, as far as your second question around bolt on opportunities. I mean, what we're looking for, obviously, what Matt has talked about is our primary focus on organic growth. But clearly, there are some opportunities that are out there that would allow us to continue or accelerate that growth strategy. Nothing, nothing large, but it's small that would fit nicely within our portfolio, and we're continuing to look at those. There's obviously nothing to talk about today. Thank you, sir.
Operator: Your next question comes from the line of Ryan Todd with Piper Sandler.
Ryan Todd: Maybe on the refining side, can you talk about what you're seeing in terms of demand across your markets? Product sales were down across your network, I think year on year. I'm just curious, is that a selection of demand or something else, and maybe more broadly, what are you seeing across your markets?
Tim Go: Yeah. Ryan Steve, just across our markets, we're seeing demand relatively flat, we like to say for gas and distillate, what we saw in the first quarter was positive. The impact on our sales was mainly driven by turnaround aspects, but distillate demand being up, we think is generated predominantly by a colder winter and pad one, as well as reduced RD and BD product associated with the new 40 5z regulation that drove about 100,000 barrels a day off the market, which was supplemented by petroleum demand. So we're pretty, pretty excited about the demand patterns and what we're seeing and how it's showing up in the cracks moving into the driving season, particularly across our regions.
Ryan Todd: Great. Thank you. And then maybe on, on the renewable diesel side. Can you walk through, I know, a first quarter was a very noisy quarter, with the kind of the shift in regulatory regime. Can you walk through the impacts of how that impacted your business? You know? How are you managing fee stock optimization, whether you were able to book any credits during the first quarter, and if you think you'll be able to book any during the second quarter, or maybe any, any possible tailwinds as we as we look forward here?
Steve Ledbetter: Yeah, so we did not recognize any tax credit for PTC in the first quarter, just given the uncertainty the regulation, as you know, there was changing regulations throughout the quarter, and that that caused us to run very carefully and run at reduced rates. Had we been able to recognize any of the tax credit under the current proposed regulations, we would have been close to break even for EBITDA from our operations within the quarter. You know, we think at very least something's going to have to give here in terms of RBO and Rin credits to go. You know, dislocate more than the Trish traditional boho spread. You're starting to see some of that support. Clarity is really going to help. But I was very proud of the team to be able to navigate the uncertainty and get to a EBITDA break even if we had recognized PTC longer term. We think some of this regulation is actually good for an overall tighter supply and demand balance, and we position ourselves to go capture that tailwind through the efforts that we've made over the past 9 to 12 months.
Tim Go: Yeah, and Ryan, this is Tim. What I would just say is, you know, all along we've said that our goal is to have our renewable diesel business be break even, to slightly positive in these bottom of market conditions. And with the PTC coming on at a reduced credit rate than the BTC was previously, I think the team has stepped up very nicely to continue to improve the foundation of the business to where they are, as we mentioned on the prepared remarks, still running at a basically break even pace, even with the lower PTC credits that we'll hopefully eventually be able to book in the future.
Operator: Your next question comes from the line of Doug Leggate with Wolfe Research.
Unidentified Analyst: This is actually Carlos on for Doug. I think that it's, and we as a team think that it's, it's valid to recognize, first of all, that was a very solid operational quarter in an extremely tough tape. But that being said, we'd like to take the prior question a step further and ask you guys, at what point do you do you consider muck balling R and D facilities versus running risk, the risk of negative cash and also acknowledging that the outlook for rent is unclear.
Tim Go: Yeah, it's a good question. We ask ourselves that and all the time, and have our conversations with the boardroom as well on those kind of questions, we believe we have competitive advantage over the majority of the industry, and you see some of that happening even during this first quarter. A lot of biodiesel plants have shut down. Even some renewable diesel plants have shut down, just as you mentioned. So as long as we the reason we keep talking about we can be break even the slightly positive in these bottom of cycle conditions is we believe that as long as we can do that, and we'll manage the cash as a result of that, but as long as we can do that on a on a day in and day out basis, that we believe we can. To continue to improve the business and be ready for when the RIN prices and LCFS prices recover and come back to what we believe is more of a long term level. So we think right now we're bottom cycle conditions, but we'll the conditions will improve and our businesses will be profitable at that point.
Unidentified Analyst: Appreciate the answer. Tim. As a follow up, we'd like to ask about LPG and your overall midstream business, because I think we've all grown accustomed to and experienced volatility on the oil and refining market as a whole, but LPG has been a, certainly a topic of debate lately with the ongoing talks with Terry, so wondering if you can perhaps walk us through if there's any potential opportunity for you, given the dislocation in the market and the uncertainty around that, or if you think that there's anything noteworthy for investors to know regarding that specific segment?
Steve Ledbetter: Yeah, this Steve, I'll take that one. You know, we don't have a concentration in our midstream space around LPG. It's not just part of our core business. We don't know that that's an area we go invest in over integrating and more concentration of getting crude and light products molecules, on our system and taking full advantage of that, having said that, and we always look at multiple opportunities, and if there was something that was very accretive to the enterprise, we would put it in our funnel and evaluate it at that at that time, but at this point, we don't have a lot of exposure or not using that as one of our growth platforms in the midstream space associated with LPGs.
Operator: Your next question comes from the line of Joe Litz [ph] with Morgan Stanley. Please go ahead.
Unidentified Analyst: Hey good morning, Tim and team, thanks for taking my questions. So let me start on refining. We've had a couple strong weekly demand numbers for gasoline, and inventories are pretty tight, particularly on the West Coast. I know you've talked about the project that expands your ability to make car gasoline at Puget Sound is that online? And then could you also just talk to your leverage to the West Coast market, given the unplanned downtime recently, as well as the announced closure of two refiners upcoming,
Steve Ledbetter: Hey, Joe, I'll take that one. I'll answer the question in the order I think they were asked. And that was the project that we had mentioned around our ability to potentially get more involved in the carb gas project. Those tanks will be coming online soon. Now we will be staging them over the next couple of months to be able to make a decision whether we move unfinished products into the car or California market, or we swell the volume pool and move gasoline there. But we're almost at the point where we'll have those ready for use in our portfolio, and given the headwinds that that we see with the announced, recent announcements, as well as current unplanned events, we think that is a benefit, not only to getting into California, but also tightening up the market in the Pacific Northwest relative to the [indiscernible] tightness. Now we took advantage this quarter of moving more molecules and playing the CARB [ph] between what was getting short and stronger demand and margin picture in Las Vegas. And we think that that is part of the advantage of our footprint, both in the midstream and our production throughout the Rockies. You know, we like to say we can move barrels out of the group into the into the front range and from the Rockies all the way up to Pacific Northwest and down into southern pad five [ph]. We think that all bodes well for us moving forward, not only this year, but as it continues to play out over the next two years, with the announced shuttering of various facilities.
Tim Go: Yeah, and Joe. This is Tim. I would just point out that the West Coast wasn't the only region that we saw strength in demand. I mean, the mid con, the group itself was strong. We entered the first quarter at pretty much, you know, highs on inventories, and we exited the first quarter pretty much lows in the group. And I think that just bodes to the strength of demand. It also talks about some of the capacity that was offline during turnarounds, and is really the source of the strength and cracks that we see across the country.
Unidentified Analyst: Great. Thanks for that. And my follow up is on marketing segment, which had a really strong quarter, particularly for 1Q which is typically a weaker period seasonally. Could you talk to some of the drivers during the quarter, the repeatability of it, and then any change to the $75 million to $80 million annual EBITDA run rate that you've talked about and passed on that? Thank you. Yeah, yeah.
Steve Ledbetter: This is Steve. We're very excited about the marketing business and the. Performance that we had in the first quarter record EBITDA, and that was largely driven by optimizing our underlying business. We're starting to see the results of high grading our portfolio, making sure that our brand standard is applied to the new sites that we're bringing on. And to be honest, calling some of the portfolio that doesn't make sense. But then also, I would tell you, getting the full value of the brand, where we haven't done that in the past, and so strategically making moves and growing in the right markets is all playing out, and our underlying execution of our business is starting to yield results. As we look forward, we think that our that our run rate is still between 75 and 85 million annually, and we see upward progression as we continue to go build out our network moving forward.
Tim Go: Yeah, and Joe, I would just say, you know, we haven't changed our guidance in terms of run rates, but obviously the first quarter results are very positive. We do think they're going to be sustainable. And so we'll, we'll update you guys as we as we continue to play that out, but we don't think there was an anomaly, if that's what you're asking or any type of special items in the first quarter for marketing, the additional stores. I mean, we're up over 100 stores year over year versus where we were in the first quarter of last year. All that is driving the growth that you're seeing, we've talked about how the branded put for our barrels is our key strategy that we that we were focused on coming out of the Sinclair acquisition, and now you're really starting to see the results starting to really play out on the bottom line. We still think there's a lot of opportunity to go, and we're driving towards that. In terms of what you're going to see more stores, see higher volumes, and then you're going to see higher EBITDA coming out of our marketing segment.
Operator: Your next question comes from the line of Jason Gabelman with TD Cowen
Jason Gabelman: The first one I wanted to ask is just the outlook for turnarounds on the year, and wondering kind of what the cadence is quarter to quarter 1Q you add some activity to 2Q, it seems like you have a bit more wondering if 2Q is kind of the peak turnaround quarter for the year, and then how that kind of informs your cash management strategy and potentially the ability and desire to buy back shares as they've weakened a bit here.
Valerie Pompa: So I'll take the first part. This is Valerie, our turnaround performance continues to be a highlight for us. First Quarter is the heavier quarter with our lubricants Tulsa and Parco turnarounds, we have one turnaround remaining for the year that will fall in the third quarter and those that's really the end of our annual, our season for the year we directionally expect our turnarounds as we anticipate that those are going To continue to level out as we move into 2627 and beyond.
Atanas Atanasov: Jason, I'll take the your second question would respect how this informs our cash, cash management strategy and buybacks, obviously, this quarter with it, with the turnarounds, was a net cash draw for us as we progress into the into the balance of the year, with a line of sight of better cracks, we believe that any excess cash flow that we generate, we should be able to return to our ship, to our shareholders, And just to remind everyone, just with our dividend, our run rate now is 6% so our strategy is to return any of that excess cash to our shareholders
Tim Go: And Jason, this is Tim. Let me just add one more thing. You know, during Atlas prepared remarks, he mentioned that our turnaround guidance is still unchanged for this year, and that's because our turnaround execution continued to go as it continues to go as planned. But Valerie mentioned that we have a lubes turnaround this year, which is what kept our overall turnaround spend at these levels, next year, we won't have that additional loops plant in our turnaround schedule. And as we talked about in the past, we are starting to get past the peak in terms of our catch up capital required for turnarounds. And we are anticipating that the turnaround workload in starting next year and then. In the years after that will be significantly lower than what we've seen over the last couple of years in turnarounds.
Jason Gabelman: Got it. That's a great color. Thanks. And then my follow up just on tariffs and the trade war as it relates to the lubes business, a bit less familiar on the dynamic. So I was hoping you could just talk about if there's any tailwinds or headwinds from some of the trade limitations and tariffs that are being put in place as it relates to your lubricants business. Thanks.
Matt Joyce: Yeah, thanks for the question. This is Matt Joyce with regards specifically to the lubes piece on tariffs, we've been working to tariff proof the business, and our business is largely 95 plus percent USMCA compliant with the materials that we bring in and out of the country. And we've been evaluating some of the production of our finished products and specialties and looking at ensuring that they're in the best supply chain locations to provide a solution to our customer bases. And as far as specific bond costs from either additive companies or other suppliers, we're monitoring that cost of goods very closely and taking any required action in the market, marketplace as a pass through, should we require it.
Tim Go: Yeah. And Jason, just to make it clear, you know, we do have a facility up in Canada, and as Matt talked about, the team has done a great job of managing through the different tariff regulations. Most of our products actually do qualify for USMCA on the loop side, and these guys have done a great job of mapping that so that we can avoid the tariffs.
Operator: I will now turn the call back to Tim for closing remarks.
Tim Go: Thank you, Kate. Before we close, I want to emphasize that our first quarter performance represented improved financials, quarter over quarter overall, and especially on refining midstream marketing and loops and specialty segments delivering these stronger results, despite all the challenging market conditions and headwinds we faced, is a proof point that our strategy is working. In addition, these results demonstrate the earnings out of our diversified portfolio. Looking ahead, our priorities remain the same to one, improve our reliability. Two, integrate and optimize our portfolio of assets. And three, return excess cash to shareholders. Thank you for joining our call and have a great day.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.